Operator: Good day, ladies and gentlemen, and welcome to the ICON's Quarter 1 Results 2014 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Simon Holmes. Please go ahead.
Simon Holmes: Good day, ladies and gentlemen. Thank you for joining us on this call covering the quarter ended 31st of March, 2014. Also on the call today, we have our CEO, Mr. Ciaran Murray; and our CFO, Mr. Brendan Brennan. I would just like to note that this call is webcast, and there are slides available to download on our website to accompany today's call. Certain statements in today's call will be forward-looking statements. Actual results may differ materially from those stated or implied by forward-looking statements due to risks and uncertainties associated with the company's business, and listeners are cautioned that forward-looking statements are not guarantees of future performance. The company's filings with the Securities and Exchange Commission discuss the risks and uncertainties associated with the company's business. This presentation includes selected non-GAAP financial measures. For a presentation of the most directly comparable GAAP financial measures, please refer to the press release statement headed Consolidated Income Statements unaudited U.S. GAAP. While non-GAAP financial measures are not superior to or a substitute for the comparable GAAP measures, we believe certain non-GAAP information is more useful to investors for historical comparison purposes. [Operator Instructions] I would now like to hand over the call to our CFO, Mr. Brendan Brennan.
Brendan Brennan: Thank you, Simon. Net revenue in quarter 1 of 2014 was $350 million. This represents year-on-year growth of 10%. On a constant-dollar organic basis, year-on-year growth was 6%. For the quarter, our top client represented 29% of revenue compared to 26% for the full year 2013. Our top 5 clients represented 53% compared to 53% last year. Our top 10 represented 65% compared to 64% last year, while our top 25 clients represented 81% compared to 78% for the full year 2013. Our headcount remained steady during the quarter, and we ended the quarter with approximately 10,300 staff. In quarter 1, group gross margins were 38.2%, which compared to 37.7% in quarter 4 of '13 and 36.1% in the comparable quarter last year. SG&A for the quarter was 22.6% of revenue, which compared to 23% in quarter 4 and 23.9% in the comparable quarter last year. Operating income for the quarter was $43 million and operating margin was 12.3%, which compared to 11.2% in quarter 4 and 8.7% in the comparable quarter last year. The net interest income for the quarter was $91,000, and the effective tax rate in the quarter was 16%. Net income for the quarter was $36.2 million, equating to earnings per share of $0.57, which compared to earnings per share of $0.53 in quarter 4 and $0.36 in the comparable quarter last year. DSOs in the quarter were 35 days, which compared to 32 days in quarter 4 and 33 days in the comparable quarter last year. At the end of March 2014, we had net cash of $364 million compared to $321 million at the end of December 2013. With that said, I'd like to hand over to Ciaran now to talk about our progress against our strategic plan and the outlook for the remainder of 2014.
Ciaran Murray: Okay. Thank you, Brendan, and good day, everyone. We've made an encouraging start to 2014, building on the progress that we made last year in 2013. Our gross bookings for the quarter were $494 million. Cancellations in the quarter were $67 million. This gave us net bookings of $427 million, which is a net book-to-bill of 1.22. Our backlog increased 11% year-on-year and now stands at over $3.1 billion, which gives us a solid foundation to build upon during the remainder of 2014. We continue to develop new client relationships and to explore opportunities with existing customers around novel outsourcing approaches. And as we develop this new business, we also remain focused on margin improvement and operational efficiency. During the quarter, we made good progress in both of these areas. Our group margin for the quarter increased to 38.2% at gross margin level, as we continue to efficiently deliver high-quality projects. We also saw improvement in our early-phase business as the changes we made last year begins to take effect. Our combined laboratory business made encouraging progress in the quarter, as we continue to see the benefits of the integration of our labs with our clinical services. We also continue to manage our cost base well. And by leveraging our global business support model, we were able to deliver further operational efficiencies in the quarter, reducing our SG&A costs to 22.6% of revenue. As a result of all of this, the improvement in gross margin and our cost base leverage, we were able to increase our operating margin this quarter, which rose sequentially 110 bps to 12.3%. This margin performance was ahead of our expectations for Q1 and is the main driver of our updated guidance, which I will discuss shortly. Alongside this financial progress, we continue to execute on our strategic plan. On our last call, we commented that during 2014, we will continue our strategy of targeted M&A to ensure we have an organization with the appropriate capabilities to deliver high-quality, differentiated solutions to our customers. During the quarter, we announced that we had signed an agreement to acquire Aptiv Solutions, and we expect to close this transaction in the coming weeks. Aptiv's adaptive trial capabilities, combined with our existing technology platform, such as ICONIK and Firecrest, will further differentiate our services and help our customers to take time and cost out of the development process. Aptiv's presence in Japan and medical device capabilities will also broaden our offerings in these markets. As a result of our strong performance in the quarter and the acquisition of Aptiv, we are raising our 2014 guidance. We now expect revenue to be in the range of $1.48 billion to $1.54 billion and our earnings per share to be in the range of $2.30 to $2.40 for the full year 2014. Before I move to Q&A, I'd like to thank everyone on the ICON team, whose hard work and commitment has contributed to this encouraging start to 2014. We're now ready for questions.
Operator: [Operator Instructions] We will now take our first question from Jeff Bailin of Crédit Suisse.
Jeffrey Bailin - Crédit Suisse AG, Research Division: Ciaran, maybe to start, given all of the recent news amongst the client base around the potential for some merger activity, and I think a perception in the marketplace of the disruption that can cause, can you maybe offer your view of this emerging trend and maybe how things are different today than past cycles?
Ciaran Murray: Thanks. Yes, it's certainly been an interesting couple of days in the market. I mean, the way I look at this -- I mean, next year, I'm 10 years at ICON. So this is probably at least the third time that we've seen this kind of thing, where there's been a flurry of consolidation or potential consolidations amongst our customer base, and then we've seen the reaction in the market. And if you look back on our past experience, I mean, the short answer here is that it always leads to more outsourcing, to an increase in outsourcing penetration and to more business for CROs. And ICON, in particular, has been a winner through these cycles in the past. I mean, if I remember the first time I experienced this, we were running a company which had revenues of something like $350 million or $400 million a year, and now we're looking at it again as a company which is guiding something like $1.5 billion in the coming year. And the driver of our growth and the sector growth over all of those years has been changed, a changed behavior in our client base, basically more outsourcing of more kinds of services to fewer CROs. So that trend isn't going to change. And if anything, it will continue to accelerate outsourcing penetration. And if we look at the past too, there's always been the discussion around what uncertainty does this bring into the marketplace and what's going to happen. I mean, I don't know if anything's particularly different this time. Because when I look at the past, while there's a period of customers integrating and history would point to the fact that, substantially, pipelines are advanced, developments go on, there might be decisions around specific projects or compounds. But our experience has been that there hasn't been extensive disruption in what's going on. And the vast majority of work that's already in progress continues in progress, and there may be the scope for some refinement of strategy. But certainly, there's some past experience that we haven't experienced extensive short-term disruption, maybe minor delays in projects, maybe discussions around strategy. So when we look at this, we're sanguine about how it goes. We're encouraged by the opportunity it provides for us in the future. We have good relationships with our customers, perhaps stronger relationships than we had 10 years ago. And as decisions progress, we feel we'll be in a position to participate in the discussions. But at this stage, of course, it's much too early, and nobody knows anything. So I can't really say more than point to the fact that we haven't been overly troubled by this in the past, and we're looking forward to the opportunities that brings us in the future.
Jeffrey Bailin - Crédit Suisse AG, Research Division: Great. And maybe just one to follow up off that. Given the uncertainty this has introduced in the market, I believe the company has about $24 million to $25 million left on your repurchase authorization and you've had a preference, I think, towards M&A for capital deployment, but has management or the board kind of discussed the view around alternative capital deployments, and buybacks specifically?
Ciaran Murray: And so I talked to some length, Jeff, on the last call about capital deployments. And since then, I've spent $144 million or something. So we might just pause and reflect on that at the moment. There's no fundamental change in our capital deployment strategy. And we're always open to looking opportunistically at buyback opportunities, and we'll continue to do that. But at the moment, we'll pause a little bit and work on the Aptiv -- closing the Aptiv transaction.
Operator: We will now take our next question from Eric Coldwell of Robert Baird.
Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division: Backlog from Aptiv. I'm just curious if you could give us some sense of what their model looks like right now. Obviously, you're taking the guidance up, mostly on core operations and the margin profile, but also some inclusion from Aptiv. Trying to get a sense on what you're thinking for revenue and profitability on that acquisition, once it closes, for the rest of the calendar year. If you could offer anything on that, it would be great.
Ciaran Murray: Sure. Why don't you, Brendan?
Brendan Brennan: Happy to. Eric, as we look at our revenue going out, obviously, the reason why we're updating guidance on that is primarily Aptiv. It's only a quarter -- we're only 2 months since we actually gave that initial guidance on revenue. So we're thinking in the ballpark, for the remainder of the year, of $65 million to $75 million of additional revenue from the Aptiv acquisition, and that's what's modeled into the guidance from a revenue perspective. On the earnings side of things then, we still have to close the deal. But at this stage, we're kind of looking at it. We think it'll probably be in the ballpark of an accretive $0.06. So you can see on the earnings side of things, it's good margin progression that's driving that significantly, and Aptiv coming in for a smaller part of that pie.
Eric W. Coldwell - Robert W. Baird & Co. Incorporated, Research Division: Great. And when we think about your backlog number next quarter, you'll be bringing in the backlog from Aptiv. So how should we think about the inclusion of that? And if you could give us any general sense of what that number might be, it would be helpful for modeling backlog conversion rates.
Brendan Brennan: I think at this stage, it's probably a little early to go into a huge amount of detail on that. I have to get my head around it first. You would've seen in there on our revenue coverage that we're at 74%, and that revenue coverage obviously includes the updated guidance for Aptiv. So that probably gives you an indicator of the total uptick that we expect to see in the next 12 months revenue. Ciaran, would you add to that?
Ciaran Murray: I would, yes. Eric, we want to -- we've done a good deal of diligence on this, and we're comfortable with it. But as we move towards integration, there'll be specific things you want to look at and specific bits of things that you might want to top and tail. So by the time you get to the next earnings call, we'll have firm numbers on what comes in on the backlog.
Operator: We will now take our next question from Ross Muken of ISI.
Vijay Kumar - ISI Group Inc., Research Division: This is Vijay in for Ross. Maybe one big-picture one. And given the disruption in the equity markets, particularly with the biotech taking a beating, how should we think about disruptions to sort of the CRO landscape in general? And I'm not talking with the large cap, I mean, which are well capitalized, but more from the perspective of public IPO markets in early stage. We see biotech companies coming to the market. Like is that -- does any one make sense? I mean, should we think of any disruptions in that market at all?
Ciaran Murray: Not really sure that's relevant to what we do. Certainly, we wouldn't dwell overly on that. Biotech market is important to us in that when funding comes into us and it increases the funding available for clinical trials, this flows through to CROs. But beyond that, I don't see much correlation between us and the disruption in their equity market.
Vijay Kumar - ISI Group Inc., Research Division: Got you. I mean, I thought as much. And the one -- second one on the -- just given the solid gross margin pull-through, can you just comment on the business mix and what kind of surprised you leading to that sort of a step-up?
Ciaran Murray: It's really the same mix as we've seen over the last couple of years in margin progression. But last year, we took a number of productivity and efficiency measures in how we do some of our core business trials work, and those benefits just flew -- flow through a bit more quickly, earlier in the year than we expected. And then we also -- so we got a boost from the fact that we've done significant work around our early-phase offering last year and our -- we combined some of our laboratory facilities, and we made some changes there and integrated it more into the clinical business. So those benefits that we had expected to come and results from that work just came more quickly than we had expected, and the margin went higher sooner.
Operator: We will now take our next question from Tycho Peterson of JP Morgan.
Tejas Savant - JP Morgan Chase & Co, Research Division: This is Tejas in for Tycho this morning. First, just one question on the Aptiv numbers that you gave out. You said about $70 million in revenues and an EPS impact of roughly $0.06. So just doing some back-of-the-envelope math, I mean, do that mean that your -- the margins for the Aptiv business are significantly lower versus company average? And if so, how do you see that evolving over time?
Ciaran Murray: I wouldn't say they're significantly lower. They're a little bit lower. And of course, in the initial year, there'll be various integration costs and things like that. So I would tend to point to what we -- to next year's expectations. And there's not a significant difference in the margins, if you take a normalized year. And of course, as we work to integrate the business and we'll get certain economies of scale in certain places, we'll see the margin profile increase towards the company margin. But really, what you're looking at there is just the timing difference in that it's the first year. So there are going to be some investment costs and some integration costs, and they're depressing them in the shorter term.
Brendan Brennan: This is Brendan. Just to add to that as well. Just to bear in mind as well, of course, when we talk about the accretion there, it obviously does take into account the impact of the intangible asset valuations that we'll have to do on acquisition, which would be dilutive, so.
Tejas Savant - JP Morgan Chase & Co, Research Division: Okay, got it. And just cash -- yes, go on.
Ciaran Murray: The cash EPS will be a couple of cents higher than that.
Tejas Savant - JP Morgan Chase & Co, Research Division: Okay, all right. And just one quick follow-up, more related to the M&A activity. Some of the CROs have stated earlier about the difference between restructuring versus consolidation, and how consolidation in the client base is potentially more detrimental to your business. I mean, what's your take on that? And is there such a distinction you feel?
Ciaran Murray: I'm not sure what you mean by that distinction. It's not...
Tejas Savant - JP Morgan Chase & Co, Research Division: I mean, just internal restructuring efforts in terms of cutting R&D versus acquiring other pharmaceutical players.
Ciaran Murray: No. I wouldn't see a distinction if I were to look at outcomes, because what we've seen with restructuring is that as internal resource is eliminated, there's more outsourcing. So that's the outcome there. When it comes to consolidation between companies, what we've seen in the past is that while there may be changes to the way it's done with the individual business, it has ultimately resourced in -- resulted in increased outsourcing penetration. So I don't think there's a difference in outcome. It just comes down to the specifics of each deal, exactly what it means. But as I said in my long-winded comments at the start, our experience over the number of times we've been through this is that, ultimately, it provides opportunity and it increases outsourcing penetration. It increases business for CROs.
Operator: We will now take our next question from John Kreger of William Blair.
John Kreger - William Blair & Company L.L.C., Research Division: Ciaran, given the very strong margin improvements you guys have delivered of late, can you just kind of give us an update on where your longer-term targets are for operating margins? And are the recent gains sustainable, particularly if your revenue growth kind of picks up to the 10% to 12% range?
Ciaran Murray: Yes. I mean, the short answer is we are -- we were working off the 10% to 12% target. And I did say when we got there, we'd set a new target. So the new target starts at 12%. And really, what we're targeting over the next sort of 12 to 24 months is to continue gradual improvement in the margin in the 12% to 14% range. How we'll get there is doing what we've been doing successfully over the last couple of years and incremental improvements in how we do business and efficiency, carefully managing our customer relationships. So that won't change. So to the extent that what we've seen happen so far, it is sustainable. Some of those margin improvements have come from the efficiency measures that we've taken around how we've structured our labs, the work we've done in early phase, certain sort of restructuring and reorganizations within our core business. So all of those things are ongoing, and I think it is sustainable through 10% revenue growth. If you look over the past couple of years, we've grown. Traditionally, you're right. Margin was impacted by revenue growth because of the investment cost. And while that fundamental principle hasn't changed, we pretty successfully managed, over the last couple of years, to grow revenue quite significantly, while improving margin. So I would see that revenue growth in the high-single digits or low-double digits still allows us the opportunity to make that a continuing modest incremental improvement in margin as well.
John Kreger - William Blair & Company L.L.C., Research Division: Great, very helpful. I think your guidance implies at least a small step-down in margins over the next couple of quarters. Should we interpret that to be just sort of the impact of rolling Aptiv into your numbers?
Brendan Brennan: I think -- Brendan here, John. I think what I've always said about guidance is, yes, if you model the high end of EPS and the high end of revenue and the low end and the low end, it would kind of indicate somewhere kind of in the high 11s, 12s, clipping that kind of range. As you know, John, over the years, people don't do ranges in their actual results. So I think what people should bear in mind is that what we're saying is that there's potential to develop our margin over the coming year and still -- so to perform well on earnings regardless of what the revenue range might be over the course of the next year. So I think we're still excited to see and hope for margin progression over the remainder of the year.
John Kreger - William Blair & Company L.L.C., Research Division: Great, Brendan. And then maybe one last quick one. This time next year, based upon the backlog that you guys have, do you anticipate any change in, let's say, the top 5 client concentration stats?
Ciaran Murray: No is the short answer, John. I think we very successfully developed our largest relationship, and that has ramped up significantly after -- over the last couple of years. And that's sort of at a fairly mature phase. So while things can change based on quarter-to-quarter specific awards, I don't expect to see the same extensive change in the top 5 percentage that we've seen over the last 24 months. So it should be about the same is how we would look at it. And of course, that could change a little bit based on quarterly win patterns, but not by a lot.
Operator: [Operator Instructions] We will now take our next question from Tim Evans of Wells Fargo Securities.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: Ciaran, just to follow on that last question. Are you still winning 50% of your new wins from your top 5 clients as well?
Ciaran Murray: It changes from quarter-to-quarter, Tim. But yes, broadly, our wins follow that pattern.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: Can you comment on what's going on in the smaller biotech, small pharma space there for you guys?
Ciaran Murray: Nothing different, I think, from the last several times we've commented on it. We've seen some funding flow into some of the smaller biotech companies over the last while, and they're coming to the market with significant trials. And we're looking at significant opportunities there, and we've had a number of good wins, developed some good relationships over the last 12 months. And midsized pharma, some of them are turning to look a little bit at the kind of models that large pharma use and reducing numbers of CRO vendors, and then we've had some good discussions in there. But no fundamental change. Both of those sectors are healthy, and we've been performing well. And then we're happy with our performance broad-based across -- certainly compared to 2 years ago, we're probably happier with our performance in the midsized and in the biotech sector. And we're still continuing to work there, the pipelines with our large strategic accounts. So it's a fairly broad-based number with no real outliers and often -- nothing different or unusual there.
Timothy C. Evans - Wells Fargo Securities, LLC, Research Division: Okay. Quick housekeeping question, Brendan. Can you split out the foreign exchange versus acquisition revenue in the quarter?
Brendan Brennan: Sure, yes. So we were 10% on an absolute basis. So we were 8% on a constant-currency basis and 6% on an organic constant-dollar. So 2 and 2.
Operator: We will now take our next question from Sandy Draper of SunTrust.
Alexander Y. Draper - Suntrust Robinson Humphrey, Inc.: A lot of my questions have been asked. Maybe as I'm doing a little bit of catch-up here, Ciaran, can you -- looking at the Aptiv acquisition and about -- and adaptive trials, when you think about trying to get ahead of where the customer's going to want to be versus customers' demand you get now, where do you think we are in terms of that demand cycle and customers recognizing the benefits? I mean, do you feel like you are out in front and need to lead the horse and teach him, or are they really demanding, "Hey, if you have this capability, we'll take it today?"
Ciaran Murray: It depends on the customers. So yes to both, Sandy. And as you know, some people are very engaged in this. Some of our existing customers, a couple of them are already working with Aptiv and are very engaged in it. And other customers are less so at this point, and we have the opportunity to wrap this into our service offering and provide them with something I think they're going to find useful. So it'd be a mixture of the 2.
Alexander Y. Draper - Suntrust Robinson Humphrey, Inc.: Okay, great. And then maybe one just quick follow-up for Brendan. You -- I think you addressed most of the financial questions on adaptive (sic) [ Aptiv], but just one quick one. Is there any significant difference between sort of their gross margin profile versus SG&A that would just change anything in terms of that report. You've talked about the operating income and the accretion, but I'm just trying to think is there anything in terms of, from an accounting perspective, that would push more costs up to cost of goods and more down into SG&A?
Brendan Brennan: No, no. There's nothing there, Sandy, that will shape our margin profile, be that gross margin and op margin, significantly different on there -- on the integration of that business.
Operator: We will now take our next question from Dave Windley of Jefferies.
David H. Windley - Jefferies LLC, Research Division: I joined a little bit late, so I apologize if you've touched on this. But I wondered if you would be willing to talk to us about exposure to AstraZeneca. I know you don't like to talk about individual clients. We clearly know Pfizer is your largest client. Would you be willing to tell us if AstraZeneca is a meaningful client, if it's in your top 5 or other color that you could give us?
Ciaran Murray: Yes, there's not a lot of -- we work with AZ. We work with them principally through some of our smaller divisions. So they're not a significant customer, Dave, and they're certainly not in our top 5. So there's de minimis exposure there.
David H. Windley - Jefferies LLC, Research Division: Okay. As you think about your own growth, Ciaran, and the potential for the client base at large to continue to get bigger, how do you think about growing ICON's platform to be able to service your big strategic clients at the same pace or faster than they get bigger. To what extent does -- do you need to repeat Aptiv-type acquisitions to keep up with that?
Ciaran Murray: No, we don't need to repeat that. I mean, if you look at how we've grown the organization over the last couple of years with some of our new strategic accounts, it's just been -- it's good resource planning, it's communication with customer, it's getting the right resources in the right place, which is all about earlier planning and better planning and better communications. So there's been nothing new and nothing invented to do that. And so to the extent that we grow the business with more strategic accounts, it'll just be a question of more of the same. The advantages that acquisitions like Aptiv bring, it's not so much to bring scale. And Aptiv are good company. We really like what they do. We like their technology approach, specifically around adaptive trial design, which we felt was a good match for our existing platforms, more of a -- this is more of a differentiator and value-add and helping customers and adding value rather than scaling up for growth. On top of that then, they had a customer base that was a bit different from us. They had a great presence and a very good company in Japan, which is attractive and fitted in with us, and they have some pockets of skill sets and highly skilled people, which will add to our capability, but more in terms of just adding to the value we can bring and to our capabilities rather than being an engine to help us cope with growth. We feel we can cope with the growth that is in the market through our existing way of doing business and just our existing way of adding resources and onboarding and training and orientation.
David H. Windley - Jefferies LLC, Research Division: Got you. And my last question, you've talked about your top client being relatively stable in terms of revenue year-over-year. You're obviously, with the 29% in the first quarter, off to a very strong start. I want -- I guess I want to make sure that, that is still the view, that it will be flat in terms of total dollars, and the implication would be that it would drop off fairly dramatically over the balance of this year. And just your thoughts about if that is correct and how you balance that decline with other growth.
Ciaran Murray: No.,, We wouldn't -- I mean, the comment I made was that we -- it is growing very quickly and quicker than expected over the past 2 years, and that is reaching maturity. But we have a considerable backlog of work that we're working on. That will continue into foreseeable future. So we -- and I think someone else asked, do we expect that concentration to change materially? No, not in the foreseeable future. And so we don't expect any fundamental change and how things are going with our top clients over the period that we're forecasting.
Operator: Our next question comes from Douglas Tsao of Barclays.
Douglas D. Tsao - Barclays Capital, Research Division: So sort of stepping back and just sort of thinking about a lot of what's going on, broadly, across health care, and obviously, you guys have the luxury of having always been based in Ireland, but just curious how you view your sort of Irish -- being domiciled in Ireland and the tax rate that it has, and what kind of strategic advantage, and certainly, from the business development standpoint, that potentially offers you in terms of bidding for assets like Aptiv and other deals that you have done over the recent years and sort of how that -- what kind of lens that allows you to look at deals versus some of your competitors, who are generally based in the U.S.?
Ciaran Murray: I think the scale of the deals that we're doing, Doug, we'll have to be honest and say it doesn't provide a significant strategic advantage. I mean, we have a good effect of tax rate here because we're based in Ireland, but that's only coincidental. We're Irish, and this is where we grew up. And we get some tax synergies when we do various deals. But the kind of deal scale that we've traditionally done, the bolt-on acquisitions and things like that, it doesn't provide -- it wouldn't be a reason to do a deal or not to do a deal. We're kind of old-fashioned people when it comes to doing our business. And we do things on does it make sense and the business case. Is this a capability we need, is it something that our customers want or will want or that will ultimately help and improve the quality of clinical trials and take time and cost out of the clinical development spectrum. If there happens to be a small tax advantage, so be it. But it has never been a factor which decides either to do or not to do a deal or even upon what to pay for it. We pay market valuations and we look at it, but we don't kind of do any financial engineering around our tax structure to soup up any deal devaluations. So it's a sort of a nonfactor for us so far.
Douglas D. Tsao - Barclays Capital, Research Division: And then in terms of -- as you sort of continue to see the operating leverage in the margins, the cash flow for the business should continue to be very strong. How do you see -- do you see plentiful sort of business development opportunities? Or at what point do you start to look at your stock and say, "Perhaps my best investment is in myself," and the consideration for share repurchases?
Ciaran Murray: We talked about this a bit, I think, on the last call and nothing's changed since then. We still see, over the next few years, this growth in the market. There's a lot of change as we've seen at the minute, and potential change in how our customers do things. We see that outsourcing penetration is going to increase. So there's going to be more stuff outsourced over the next few years. A broader range of service is going to be outsourced in more geographies. So we have an opportunity to participate in that growth. And at point, it will require investment. So I think what we said is that we want to put our cash to work in the best way to share -- to drive shareholder value. That's principally -- as we've shown with Aptiv, in looking at opportunities to grow the company to add to our capabilities to make sure we remain a top-tier CRO in the future and have all the services that our clients want globally. But we're also open to opportunistically looking at share repurchases, and we continue to monitor that. This quarter, we spent a considerable amount of our cash, $144 million out of the $360 million that's on the balance sheet. And we're going to pause and digest that.
Operator: Our next question comes from Steven Valiquette of UBS.
Steven Valiquette - UBS Investment Bank, Research Division: I got on the call here a little bit late, so I missed some of the commentary. But I guess the question I have around your largest customer, since obviously it's fairly topical right now, is -- I forgot if you guys have disclosed any details about whether or not -- your run rate of business with them right now, whether you're sort of cruising along around the guaranteed minimum amounts of business that you have contractually with them, or are you overachieving by a pretty good clip on the amount of the business that you're doing here versus those guaranteed minimums? And also, do those guaranteed minimums step up over time within the contract? Just curious -- or just any color around that to sort of give us a framework for, for lack of a better phrase, downside protection during these potential delays during integration, et cetera, if these other mergers that are contemplated ultimately go through.
Ciaran Murray: I mean, what we said, since you came on late, is that having watched this for almost 10 years, we've seen that pharma consolidation always results in increased outsourcing, more business for CROs. In fact, earlier, the first time I went through this, watching this, we were $400 million company, now we'd be $1.5 billion company. And so results have changed, more outsourcing, outsourcing more services. So questions about minimum levels of business in a big customer, they're really not relevant. And as we've always said, we don't work off guaranteed minimums with customers. There are indications in contracts that we use and algorithms for pricing. But if you get to a relationship with your -- one of your top customers and you start arguing over contractual provisions, yes, that's not really a good place to be. And we have long and fruitful relationships with our customers that are built on trust and maturity and behaving in a way, a hugely beneficial way. So there's no point looking at it in terms of upside or downside protection. What we can say is that we do much more business than we initially expected, because more work was outsourced as the model gained traction. And that has grown over the last 2.5 years. I said earlier in the call that it's probably reaching more of a maturity point. But I also said to a previous question that we're forecasting that it should continue in and around those levels for the foreseeable future. That's what's built in our forecast. And really, that's the way that we look at it.
Steven Valiquette - UBS Investment Bank, Research Division: Okay. So bottom line is you're feeling pretty good about your positioning there. And maybe your sense is that investors have been nervous about this or they're probably more nervous than you are is what you're saying.
Ciaran Murray: Bottom line, as I said -- you shouldn't put words in my mouth. But -- so bottom line is I said what I said. And I will emphasize the point that yes, we've seen this before a number of times over the last time, and we've seen the markets react like this before. But if you look at past quarters[ph] , the old cliche, past experience is not guarantee of performance. But if you look at the number of times this has happened, it's always resulted in more outsourcing. And the short-term disruption, while there's potential for us, our experience has been that the bulk of work goes on, pipelines continue to be developed, work continues to be done. Maybe somebody changes their mind or tweaks a study or 2 or maybe decisions are a little bit slower, but it hasn't had a disproportionate effect in the past. At this point, what's happening is still conjecture in the markets, so we'll all see when we see. But we are feeling more sanguine about it, based on having seen it before.
Operator: Our next question comes from Greg Bolan of Sterne Agee.
Gregory T. Bolan - Sterne Agee & Leach Inc., Research Division: So, Ciaran, I guess just to kind of follow up on a couple of these questions around concentration and M&A and what that can do. Obviously it's all conjecture. But when you were a $400 million company and now you're somewhere around $1.5 billion or on a run rate for $1.5 billion, I mean, isn't it fair to say, though, that outsourcing penetration at that point was, say, 20%. Now we're probably well ahead of that. And so doesn't that kind of change the dynamic of how you're impacted if, in fact, some of your larger customers merge?
Ciaran Murray: Yes. I think that's not really the point, Greg. It's true to say that, that is what the outsourcing penetration was, and it's also true to say that nobody knows. However, our concentration hasn't changed significantly in that time. So when we were businesses of a certain scale and outsourcing penetration was less, our top 5 has always accounted for something like 40% to 50% to 60% of our business, depending where we were on our growth curve. So that's not unusual. And so I don't see that that's a factor that would particularly come into play.
Gregory T. Bolan - Sterne Agee & Leach Inc., Research Division: Okay, that's fair. And then on the adaptive trial design market, obviously, Aptiv, SiTEL, kind of the market leaders there. Have you guys kind of looked at what the addressable market is? I mean, obviously, if you go back to '06, '07, out of Raleigh, it was kind of a concept and now it's become a very real business and a very exciting business in drug development in my view. But have you kind of looked at what the addressable size is for that market?
Ciaran Murray: We look at these things, but it's hard, as you know, Greg, to get sort of reliable numbers. What worked for us, really, most was the potential not just of this as a standalone product, but of wrapping it around a full sort of integrated technology platform that's going to take and make difference to end-to-end clinical trials. So the adaptive market's in one part of the chain, we have things that are in the other. So it's really about that end-to-end service. And we think it's got exciting potential for -- with what we have and bringing to customers to help them there, help them do better trials and make better decisions.
Operator: Our next question comes from Robert Jones of Goldman Sachs.
Robert P. Jones - Goldman Sachs Group Inc., Research Division: Well, obviously, a lot of them have been answered. I guess, Ciaran, just maybe a big-picture question. Now that you've already or at least nearing cycling some of these large strategic relationships, just curious, any noticeable adjustments to the relationships or arrangements? Any opportunities to gain significantly more business as you've renegotiated or are in the process of renegotiating? And I guess on the flip side, any risk to seeing additional providers brought into any of these relationships?
Ciaran Murray: I suppose both is the answer. Our experience to date on the ones that have been renegotiated is that it tends to work well. You've built up trust over the years and better understanding and everyone has better information, better knowledge of each other. So you tend to get the opportunity to add services beyond the original scope. So you do tend to get that opportunity through the life of the contract. It just doesn't all happen at the end, towards renegotiation. So our experience is that these things start up and there's investment required and there's challenges, and people have to learn to work together, there are change management issues. And everyone works through those, the benefits of the model become clear, and we tend to get to offer more services in those relationships. So that's worked well as they come up. I mean, the bringing in or taking out of vendors, it really depends on how much work is available. There is a natural limit, I think, to how much work you want to have with one customer. If we look at some of our bigger deals, they've tended to result in more outsourcing than was foreseen at the time. And there've been situations where we've be more than happy to sit down with the customers. And when they say, "Look, we're going to do considerably more than was foreseen. You guys have already made an investment, and this is considerable attention [ph] we're thinking about in a backstop provider, an additional provider." That happens from time to time in our relationships. It's a very valid way for our customers to behave, and I actually encourage it. It gives choice and resource and backup for customers, and it doesn't put too much pressure and too much concentration for ourselves. So it depends. It's a win-win situation for me.
Robert P. Jones - Goldman Sachs Group Inc., Research Division: That makes sense. And I guess just 2 quick ones. Adaptive (sic) [Aptiv], a nice timely acquisition, given the folks on adaptive's (sic) [Aptiv's] clinical trial design. Curious if there's anything you can share on their customer mix, specifically thinking about what portion of their current customer mix -- business is actually coming from other CROs, any risk there. And then I guess just final thought on upcoming Analyst Day, Ciaran. Anything we should be focused on, anything you guys prepare in advance as far as topics we should be thinking about for the Analyst Day?
Ciaran Murray: To take your first question, the customer mix in Aptiv, there's no significant exposure to other CROs. They have a good book of customers, and they're good people who've done a good job with that company. So -- but there's nothing there that would lead to anything unusual, unforeseen. As for the Investor Day, now we want to keep it as a surprise, Bob. I'm not going to reveal my cards now. And to be honest, if you asked me about things last Friday compared to today, some of them have changed. [Indiscernible]. So I think we're going to watch what the world goes, and we'll have some interesting scenes around where we expect growth to come from in the future and the role of technology and, of course, adaptive trials and some of the scientific changes and things like that. But no, nothing specific. And we can talk a little bit about where the whole world and bigger picture is in terms of the market landscape.
Operator: We will now take our next question from Todd Van Fleet of First Analysis.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: I thought I heard you mention earlier in the call that some of the outperformance from a margin perspective in Q1 was attributed to the labs-based businesses, but I'm not quite sure if I heard that right. The reason I ask is because I'm trying to assess how to think about the labs-based businesses generally in terms of either contributing to margin outperformance or underperformance over the course of the year, given the changes that you've made and so forth and given the relative size, I guess, of those businesses now. So I think it'd just be helpful for me, if nobody else, if you could kind of tell us how you think about the contribution or the opportunities that exist within those businesses as they -- as you look to kind of continue to improve the margin track.
Ciaran Murray: I mean, we've made changes, because at that point in time, we felt the profile, the margin profile out of those businesses could be brought to the group target. What we've seen is the changes that we've made have resulted in them coming broadly in line with the target. That would have been in our forecast this year, the target. We just got there a little bit earlier, so I don't foresee any significant thing for you to model there, it sort of it is where it is now. And the margin profile is going to track close to -- in or about what it's expected to do. So I don't see any kind of change from that in the future.
Todd Van Fleet - First Analysis Securities Corporation, Research Division: Ciaran, just to follow up on that then. So the -- I think it was -- what was it, 12.3% that we saw. Was it 10, 20, 30 basis points of benefit to Q1 as a result?
Ciaran Murray: I mean, we don't disclose those numbers separately, and that's as much detail as I'm able to give you.
Operator: As we have no further questions, I would like to turn the call back to Ciaran Murray for any additional or closing remarks.
Ciaran Murray: Okay. Thanks for listening everyone. We're pleased with the start we've made to 2014, and we're looking forward to continuing to work hard for the remainder of the year and to continue to position ICON as a global CRO partner of choice for the industry and delivering the best-in-class information, solutions and performance. Thank you very much, everyone.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen.